Operator: Thank you for standing by, and welcome to the Karman Space & Defense First Quarter Fiscal Year 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. I'd now like to turn the call over to Steven Gitlin, Vice President of Investor Relations. You may begin.
Steven Gitlin: Good afternoon. This is Steven Gitlin, Vice President of Investor Relations for Karman. Before we begin, please note that on this call, certain information presented contains forward-looking statements. Forward-looking statements include, without limitation, any statement that may predict, forecast, indicate or imply future results, performance or achievements and may contain words such as believe, anticipate, expect, estimate, intend, project, plan or words or phrases with similar meaning. Forward-looking statements are based on current expectations, forecasts and assumptions that involve risks and uncertainties, including, but not limited to, economic, competitive, governmental and technological factors outside of our control that may cause our business strategy or actual results to differ materially from the forward-looking statements. All forward-looking statements should be considered in conjunction with the forward-looking statements in our earnings release. Future company updates will be available via press releases. For further information on these risks, we encourage you to review the risk factors discussed in Karman's periodic reports on Form 10-K and Form 10-Q filed with the SEC and the Form 8-K filed today with the SEC, along with the associated earnings release and the safe harbor statement contained therein. This afternoon, we also filed our earnings release and posted an earnings presentation to our website at karman-sd.com in the News & Events section. The content of this conference call contains time-sensitive information that is accurate only as of today, May 13, 2025. The company undertakes no obligation to make any revision to any forward-looking statements contained in our remarks today or to update them to reflect the events or circumstances occurring after this conference call. I also like to note that unless otherwise stated all numbers we will be discussing today are GAAP. Our press release contains a reconciliation of any non-GAAP financial measure to the most comparable GAAP measure. Joining me today from Karman are Chief Executive Officer, Mr. Tony Koblinski; Chief Financial Officer, Mr. Mike Willis; and Chief Operating Officer, Mr. Jonathan Beaudoin. Now I would like to turn the call over to Tony.
Tony Koblinski: Thank you, Steve. On today's call, I will begin by summarizing our progress and strong performance in the first quarter before Mike provides an overview of our financial results. Jonathan will then provide an update on our end markets and our strong position with respect to the emerging U.S. Department of Defense budget and the Administration's trade policies. I will then update you on our outlook before we take your questions. Let's begin with a quick reminder of the progress we have accomplished in a very short time, summarized on Slide 4 of our earnings presentation. Only three months ago, we successfully completed our IPO. Since then, we reported record 2024 financial results, we refinanced our debt, and we acquired MTI, adding additional proprietary capabilities. Our strong momentum is also illustrated by our record first quarter financial results summarized on Slide 5. We generated record quarterly revenue of $100 million and gross profit of $39.5 million. We produced record quarterly adjusted EBITDA of $30 million and fully diluted adjusted earnings per share of $0.05. We achieved a record funded backlog of $636 million at the end of first quarter. And since the end of first quarter, we've increased our full year 2025 revenue visibility to approximately 95% as of the end of April. These strong results demonstrate continued momentum and effective execution. Our business model continues to create the basis for profitable growth and shareholder value. Now, I'll turn the call over to Mike for a review of our first quarter financial results. Mike?
Mike Willis: Thank you, Tony. Our strong execution in the quarter is reflected in record revenue of $100.1 million, a year-over-year increase of 20.6%. This is driven by double-digit revenue growth in all three of our end markets shown on Slide 6. Revenue in hypersonics and strategic missile defense grew from $24.8 million to $30.1 million, an increase of 21.1%. Tactical missiles and integrated defense systems revenue grew from $27.9 million to $36.2 million, an increase of 29.6%. And finally, space and launch revenue grew from $30.3 million to $33.8 million, an increase of 12%. The highly diverse nature of our customer and program portfolio means that from quarter-to-quarter, our end markets may not grow at the same rate. However, on an annual basis, we expect our commercially focused space and launch market to represent approximately one third of our total revenue and our two defense oriented markets to represent the remaining two thirds. Year-over-year, first quarter revenue growth resulted from growth in a certain number of our programs, such as GMLRS and NGI, partially offset by declines in others, such as SLS. Moving down the P&L, shown on Slide 7, gross margin expanded by 450 basis points year-over-year to 39.4%, driven by operating leverage and efficiency gains. Importantly, adjusted EBITDA rose 25% from $24.3 million to $30.3 million in the first quarter of 2025. This represents a 30% adjusted EBITDA margin and roughly 100 basis points of margin expansion over Q1 2024. Fully diluted adjusted EPS increased 67% year-over-year from $0.03 to $0.05 in the quarter. But for approximately $8 million of share based compensation expense triggered by our successful February IPO, we would have produced record quarterly net income. These were for pre-IPO shares and therefore have no dilutive effect. These expenses were identified in our 10-K filing and were the primary driver of increased general and administrative expenses, decreased net operating income and a net loss in the quarter. Healthy bookings in the first quarter boosted our funded backlog to $636 million as of March 31, 2025. First quarter revenue and growth in our funded backlog increased our 2025 revenue visibility to 95% to the midpoint of our guidance range as of the end of April. That leaves roughly 5% or above 29 left to book and convert to revenue this year. We expect to secure the remaining bookings from orders associated with existing programs by the end of the current quarter. Turning now to the balance sheet as of March 31st of 2025, we had a $113.7 million in cash and cash equivalents, up from $11.5 million from year end 2024. Cash and cash equivalents increased as a result of the proceeds from our February 2025 IPO, a portion of which were used to pay off our previous $25 million revolving credit facility and our IPO expenses. We strengthened our balance sheet in early April by successfully refinancing our existing credit facilities with the new term loan B and revolving credit facility. These new facilities reduced our net interest rate and extended maturities to April 2032 and April 2030 respectively. Finally, for modeling purposes, in '25, we continue to expect a statutory tax rate of 24%, and we expect CapEx investments to total approximately 4% of revenue. These CapEx investments support equipment and facility improvements, such as our new cleanroom in Mukilteo, Washington and our new facility in Decatur, Alabama. Investments like these expand our capacity and capabilities to drive growth and shareholder value. Now I'd like to turn the call over to Jonathan to discuss our end markets and our positioning relative to federal budgets and policies.
Jonathan Beaudoin: Thank you, Mike. The demand drivers supporting our business remain strong, and the diversity of revenue and programs shown on Slide 8 support our continued growth. Commercial space activity continues to increase, while the U.S. DoD is prioritizing solutions for homeland defense, precision strike capabilities and space assets. In the commercial space launch market, we continue to prepare our customers for the significant increase in launch gains expected this year and beyond. For example, we are proud to be part of the United Launch Alliance team that began deploying Kuiper satellites using the Atlas V launch vehicle on April 28. We look forward to supporting a reported 45 combined Atlas and Vulcan launches in the next few years and as many as 30 more from other launch providers. As a reminder, we provide content on virtually every U.S. space launch vehicle. Our subsystems include energetic retention and release mechanisms, pyrovalves, interstate separation systems, heat shields, ISO grid assemblies, ablative composite thermal protection systems, and more. We continue to monitor the administration's Golden Dome initiative. While not yet determined, we expect program details to align extremely well with our capabilities and the programs we have been supporting successfully for years, such as NGI and other missile defense programs in production. This initiative also calls for significant investments in hypersonics and hypersonic test programs. The initiative also requires more assets in space for sensing and detection, which would require more launch activity, another domain that we support. In terms of the federal budget process, news of potential incremental DoD funding of $150 billion for capabilities including unmanned swarms and hypersonics appears to be very favorable to Karman. Karman has over 20 years of flight proven heritage in hypersonics, supporting DoD hypersonic platforms and test bed programs with deployable shrouds, energetic systems, heat shields, rocket motor nozzles, and complex high temperature metallic assemblies. Along with Replicator, we expect initiatives like the Army's Launched Effects Program to drive demand for Karman Launch Systems, which leveraged decades of successful payload integration and launch heritage. The recent House of Representatives Armed Services Committee's budget reconciliation markup proposed $25 billion in additional funding for integrated air and missile defense. This document specifically calls out space, hypersonic, and layered homeland defense initiatives. The President's detailed 2026 budget request expected later this month will provide greater visibility into the administration's plans for these and other defense programs and how those plans could benefit us. Once details emerge, we will be better positioned to determine the effect on our business. In addition, existing programs appear to be poised to generate significant increases in demand for us. For example, a recent Sources Sought notice from the U.S. Army details plans to increase production of Guided Multiple Launch Rocket Systems, or GMLRS from 10,000 units per year to 19,000 units per year starting in 2028. Similarly, we are receiving positive demand signals from an air launched missile program, which could translate to a significant increase in production volume over the coming years. Other opportunities include hypersonics and Army Launched Effects, both of which align well with the DoD's investment priorities. While demand signals are strong, it's always important to evaluate potential risks to our business. The administration's trade and government efficiency improvement initiatives have generated questions for most public companies. While many companies across the economy identified risks associated with current tariff and government efficiency policies, we believe that we are in a strong position. That's because we've conducted a thorough review of our supply chain to identify any potential impacts from tariffs and limitations on export of rare earth metals to The United States. Our review determined the following. First, we procure virtually no items subject to tariffs directly from foreign suppliers. Second, the use of rare earths in our development, testing, and production processes is negligible. Third, we contract for the purchase of materials at the front end of production orders, which minimizes our exposure to price increases over time. Further, our fixed price contracts typically renew on a 12 month basis, providing us with the opportunity to address cost increases or tariff related inputs in our pricing should they occur. As a result, there is little material pricing risk associated with 95% of our 2025 revenue. We believe that export tariffs do not represent a risk to our revenue because direct international sales represent less than 1% of our revenue. In fact, increases in defense spending amongst U.S. allies may result in increased international revenue for Karman in the future. While we cannot be certain how tariffs will affect the prices of material inputs we procure over the coming weeks and months, we are confident that we are very well positioned to manage any disruptions that may result. With respect to government efficiency programs, Karman's value proposition is to deliver advanced solutions to customers more efficiently through deep IP enabled vertical integration. We provide design through production capabilities that shorten lead times and creates value for our customers. Further, our efforts are focused on critical national security priority programs. The supply chain efficiency we deliver with our integrated solutions is highly aligned with the goals of government efficiency initiatives. In addition to providing overall high value to our customers, more than 90% of our contracts are firm fixed price, which means it's our responsibility to price contracts appropriately and manage our operations efficiently. Our ability to deliver advanced solutions effectively is illustrated in our strong financial results. Across our end markets, we see favorable conditions that support our current year goals and position us for continued profitable growth. Our success depends almost entirely on the successful execution of our plans. To summarize, Karman is well aligned with major space opportunities and strategic national security priorities. And we are well positioned to support emerging and next generation capabilities. Our business model is designed to deliver superior results under the current or any administration. Now I'll turn the call back to Tony for his closing comments.
Tony Koblinski: Thanks, Jonathan. Karman represents a new kind of space and defense company. We are a vertically integrated technology enabled merchant supplier to virtually every prime contractor across space, missile, missile defense, and tactical uncrewed domains. Unlike many other companies that focus narrowly on a specific capability or domain, such as machining, metal forming, composites, or energetics, we design, develop, test, and manufacture a broad range of integrated system solutions using a wide array of capabilities that we have spent decades perfecting. Our customers choose us because we do more than build or machine parts. We solve critical problems for them with an unmatched breadth of technology driven solutions, and we do so in a manner that provides more value to them than if they were to in source these activities. As we've said, we're off to a great start in 2025, with record quarterly revenue, adjusted EBITDA, funded backlog, and nearly full visibility into our full-year revenue guidance. Our business remains aligned with key space and defense priorities that are poised to receive meaningful increases in government and private sector funding. We are receiving signals that indicate the potential for new sources of demand, such as for the Golden Dome and for the replenishment of existing capabilities. And our ongoing involvement in hypersonics programs, NGI replicator, and the Army's launched effects program, and in fielded production programs positions us to benefit from an anticipated growth in funding. We believe that our exposure to the effects of tariffs, government efficiency initiatives, and rare earth supply constraints is minimal. And our high revenue visibility gives us confidence in our ability to achieve our full-year revenue guidance. And so, this leads us to our fiscal year 2025 guidance, summarized on Slide 9. For 2025, we reaffirm our guidance of total revenue between $423 million and $433 million and adjusted EBITDA between $132 million and $137 million. This represents year-over-year revenue growth of 24% and adjusted EBITDA growth of 27% to the midpoint of these ranges. We now expect approximately 48% of our full-year revenue in the first half of our fiscal year based on the midpoint of our guidance range. Our 2025 priorities have not changed and are shown on Slide 10. We remain focused on delivering sustained organic growth, executing on inorganic opportunities, one or two small acquisitions per year, investing in our team's talent, and ultimately fulfilling our vision of being the industry's most sought after partner for mission critical systems. Our positioning has never been better aligned with market requirements, and our team is fully focused on delivering results and creating customer and shareholder value. Thank you to our employees, our customers, and our shareholders for your continued trust and engagement. We will now take your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. Your first question today comes from the line of Amit Daryanani from Evercore ISI. Your line is open.
Michael Fisher: Good. Thanks. This is Michael Fisher on for Amit. I just wanted to touch quickly on the SLS dynamic you mentioned in the press release. I'm wondering, is this just some quarterly lumpiness or is there anything else to be aware of there with that program?
Tony Koblinski: Previously, the first quarter '21 SLS, it did have higher demand at that point in time than what we have today. And so it was mainly just a function of PO placement from our customer base. And really from this point going forward, we would say that SLS is a very negligible amount of our forecast going forward. Fraction of 1% of total revenue in our go-forward forecast. Yes, appreciate the question.
Michael Fisher: Yes. Great. And then, a little bit more broadly on the Space and Launch business. Is there any color you can provide on how your content varies across customers and programs? Is it pretty similar on each launch vehicle, or is there quite a bit of variance there?
Tony Koblinski: There's certainly, an amount of variance. I kind of would point to our three product categories. Those categories, payload protection, aerodynamic interstage, and propulsion systems, those have applications across all three of our market areas. And just given that diversification, we do see some variation between the various launch providers. So some are more oriented to Aerodynamic Interstages, while others may be more towards propulsion systems.
Michael Fisher: Great. Thanks for taking my questions.
Operator: Your next question comes from the line of Peter Arment from Baird. Your line is open.
Peter Arment: Yes. Good afternoon, Tony, Mike, Jonathan. Thanks for the details and nice results. And, Jonathan, you mentioned the reconciliation bill, the $113 billion in spending, and obviously, there's going to be initial funding for Golden Dome. Do you expect any, and like, obviously, other things, missiles and hypersonic funding? Are we expecting any bookings associated with those areas this year? I know you had previously expected a pretty healthy book-to-bill anyway this year?
Jonathan Beaudoin: Yes. I mean, I kind of would point to initially, our record backlog right now, $636 million, 95% visibility to this year's revenue. So strong with this year as that develops. When that would get defined enough to actually convert to a bookings, we will have to see. So really don't know if it's this year or does it do we start to really recognize it next year? So we'll have to kind of be watching it. And then once the budget's defined, then we'll have more visibility into some timing.
Peter Arment: Okay. That's helpful. And then just as a follow-up and related to that, I know you guys had kind of targeted 4% of revenues for CapEx. Any change to that just given that Golden Dome has gotten a little more defined, since kind of the IPO in that period of time? Thanks.
Jonathan Beaudoin: No. I'd say that that remains, Peter, for this year. Our forecast, again, as Jonathan indicated, as the details of Golden Dome and the elements of it in terms of the new capabilities that will be desired, we'll have to readdress that as we move forward. But right now, that 4% is adequate to meet the needs of the demand in front of us.
Peter Arment: Appreciate it, Tommy. I'll jump back in queue. Thanks.
Operator: Your next question comes from the line of Ken Herbert from RBC Capital Markets. Your line is open.
Stephen Strackhouse: Hi. Good evening, Tony, Mike and Steven. This is Steve Strackhouse on for Ken Herbert. I was hoping to just touch on your EBITDA guidance for the full-year. It implies a bit of full 100 basis points step up throughout the year. Can you maybe just touch on some of the drivers there and what kind of gives you confidence in the rest of your outlook?
Tony Koblinski: Yes, sure. So operating leverage is a portion of that expanded EBITDA margin as well as some of the CapEx initiatives that we're taking in place right now that improves our efficiencies on the shop floor. So that's what we have, laid out in front of us in terms of expansion on our EBITDA margins. Confidence is strong. It starts with our percent books that, you've heard now a couple of times. 95% bookings in hand for the year. We expect to close the last 5% here by the end of next month, and that that really starts with the confidence build. From there, it's in our hands for execution. And so that, I guess I just leave it at that in terms of confidence for that forecast.
Stephen Strackhouse: Yes. It sounds good. And then maybe just as a follow-up on the bookings. Looks like book-to-bill was maybe like 1.5, 1.6 in the quarter. And I know we talked about some strong booking expectations for the full-year. Has that maybe changed at all? Do you think that you can maybe be closer to 1.5x? Or how should we kind of think about bookings or your backlog kind of maybe exiting the rest of the year?
Tony Koblinski: Yes. I don't know that I would project 1.5 for the full year. As we've talked before, bookings can, in fact, be lumpy a bit. We think we've got a solid pipeline of opportunities. And again, the unknowns of what Golden Dome will ultimately lead to, would have us without clear certainty of what that will be by the end of the year. But strong backlog, strong pipeline, sufficient to fund the growth that we were projecting.
Stephen Strackhouse: Sounds good. I'll jump back in the queue.
Tony Koblinski: Thank you.
Operator: Your next question comes from the line of Bradley Eyster from Citi. Your line is open.
Bradley Eyster: Great. Good afternoon. Thank you for taking my question. Just one quick question for you on the [indiscernible] side of the business. So the new administration looks like it's going to try and engage in procurement reform, including a potential rewrite of the federal acquisition regulation and the consolidation of much more purchased power at the GSA. Could you potentially talk a little bit about what you like about the existing procurement system and what you'd like to see changed? And then can you also discuss how all this change might impact your business? Thanks.
Tony Koblinski: As we've discussed, anything that drives the efficiency in the government procurement process, we're in favor of, whether it's efficiency in decision-making, getting to contract, lessening of contract requirements. Those are all favorable for us. We're built to help our supply for our customers go fast, to get to solutions quicker with designs that that make sense and through integrated manufacturing to ultimate hardware in record times. And so we don't see anything negative about the proposed, but still uncertain changes ahead.
Bradley Eyster: Got it. Appreciate the color. Thank you. I'll pass it along.
Operator: [Operator Instructions]. Your next question comes from the line of Louie DiPalma from William Blair. Your line is open.
Louie DiPalma: Tony, Mike, Jonathan, and Steve. Good afternoon.
Tony Koblinski: Hey, Louis.
Louie DiPalma: Hey, last week, the U.S. Navy announced progress with its conventional prompt strike hypersonic missile. In general, Tony, can you discuss your exposure to hypersonics? And I think you and XPOW Systems previously announced a partnership with the navy for this particular conventional prompt strike, but you also have a partnership with them for the army. So, can you just discuss broadly your hypersonics exposure? Thanks.
Tony Koblinski: Yes. Again, we're hesitant to talk specific, programs without the authority from our customers. As we've said, we're on virtually all current hypersonic development programs at this point. We have partnerships with all of the propulsion houses, both the traditional, as you think of them, and the emerging players in that space. And we continue to be well embedded in all of the ongoing development programs, I would say including CPS.
Jonathan Beaudoin: Yes, across our product categories, too. And when we look at hypersonics, all of our product categories have application there as well.
Tony Koblinski: It's probably as far as we can go.
Louie DiPalma: Yes. That's helpful. And following-up on the strong bookings, you discussed the 95% visibility, which is definitely a positive, but you also referenced the multi-year plan from the army to potentially double, GMLRS production. And so I was wondering, do your large customers, do they give you multi-year road maps? And do those multi-year road maps and budget trends, do they give you like longer-term visibility beyond the 12 months contracts that give you confidence in your long-term growth outlook?
Tony Koblinski: When they can, they do. And so, quite regularly, as we meet with our customers, the discussion is what is the three to five year outlook so that we can plan capacity, appropriately for them. And so not contractual in nature many times. Sometimes, yes, in terms of co-investment in that capacity need, but quite generally, we have good discussions with our customers around the three to five year time horizon.
Louie DiPalma: Great. Because, yes, it would seem that, if there were this unfunded backlog that, you would have that visibility given how you are embedded for some of these programs that you referenced, then it would be very difficult to swap you out.
Tony Koblinski: Without question. That's a true statement.
Louie DiPalma: Great. That's it for me. Thanks, everyone.
Tony Koblinski: Thanks, Louie.
Operator: And that concludes our question-and-answer session. I will now turn the call back over to Steven Gitlin for closing remarks.
Steven Gitlin: Thank you, Rob, and thank you all for your attention today and for your interest in Karman. An archived version of today's call, all SEC filings and relevant company and industry news can be found on our website at karman-sd.com. We wish you a good day and we look forward to speaking with you again following next quarter's results.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.